Operator: Ladies and gentlemen, I would like to thank you for standing-by and welcome to the First Quarter Earnings Report for the E. W. Scripps Company Teleconference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session. [Operator Instructions]. As a reminder today's conference call is being recorded. I would now like to turn the conference over to your host, Vice President of Investor Relations. Mr. Tim Stautberg. Please go ahead sir.
Timothy E. Stautberg - Vice President, Communications and Investor Relations: Good morning all and thanks for joining us. We will start the conference call today with comments from Ken Lowe our President and CEO; and Joe NeCastro our Executive Vice President and Chief Financial Officer. We will keep our prepared remarks brief this morning because we know have a busy schedule. We promise to be done well within the hour. Before we begin, let me introduce the other members of our senior management team, who are here with us on the call. Joining us are Rich Boehne, Chief Operating Officer; John Lansing, President of Scripps Networks; Mark G. Contreras, Senior Vice President of Newspapers; Bill Peterson, Senior Vice-President of our TV Station Group; and Lori Hickok, Vice President and Controller. Let me remind you if you prefer to listen-in on the web. You can go to scripps.com and click on the shareholders link at the top of the page. An audio archive will be available on scripps.com later today and we leave it there for few weeks, so you can access it at your convenience. Our discussion this morning will contain certain forward-looking statements actual results may differ from those predicted. Some of those factors which may cause results to differ are set forth in our publicly filed documents including our 2007 Form 10-K. Now here is Ken.
Kenneth W. Lowe - President and Chief Executive Officer: Thank you Tim. Good morning to everyone. As always we appreciate you joining us, Scripps had a very solid quarter, thanks to strong operating performance at Scripps Networks and improved at our online comparison shopping services in the U.S. and U.K. Positive audience trends at HGTV and Food, combined with healthy pricing in scatter advertising market drove revenue in segment profit growth comfortably above the expectations for the three month period. At Shopzilla improvements we made in the business as helped us better monetize the growing levels of user and traffic that we've been able to generate, and in the UK increased energy switching activity and significantly lower operating costs have restored uSwitch to profitability. All are very positive developments as we near the completion of the company's separation by the end of next quarter. At Scripps Networks we are definitely hitting our strides, primetime and total day veiwership is up at both HGTV and Food. Smart, fresh program in both brands is attracting younger and more engaged viewers. Our websites are holding fast to their positions as food and shelter category leaders. And, we are launching or acquiring interactive businesses that target the same categories that we own on TV. And our newer network particularly DIY rapidly gaining scale and building engaged loyal audiences of their own, in short I would say we succeeded in creating plenty of momentum across the board at Scripps Networks. For example at HGTV great shows like House Center and Design to Sell continue to draw solid audiences. Defying convention wisdom that viewer interest in real estate would vain in the current economic environment. Our annual HGTV Dream Home giveaway was a hit again this year. Drawing more than 41 million entries and solidifying this dominance as cable TV's single largest promotion. Incidentally the Dream Home special this year was followed by the premier of Myles of Style which is hosted by Kim Myles how who was the winner of last years programming hit, HGTV Designs Star. In fact the third season of that Design Star will be returning to the network in June. At Food Network primetime hits that are driving increased ratings and viewership include new seasons of Dinners, Drive-Ins and Dives, Ace Of Cakes and Ultimate Recipe Show Down. These are all younger skewing shows that in March contributed to a 14% year-over-year increase in 18 to 34 year old viewers, the demographic that is particularly appealing to our advertisers. Day time and on weekends on the Food network, we have strengthened our In the Kitchen lineup with some promising new series including Down Home With the Neelys' and Rescue Chef Danny Boome. Our Saturday morning viewership numbers is showing marked improvement thanks to both of these new shows. At DIY Network our decision to accelerate investment in original programming last year is really paying-off. Quality original shows like Blog Cabins, Sweat Equity and Desperate Landscapes are attracting new fans to the Network. Primetime viewership during the first quarter was up a very strong 68% year-over-year and totaled day viewership increased 41%. On the web, foodnetwork.com continues to be the internet's top food and cooking site and now between it and Recipes R [ph], Scripts accounts for about 25% of the webs total traffic in the food category. Incidentally the day before Easter we saw a 143% increase in traffic to the food network website compared to last the year phenomenal. As for interactive development at Scripps Networks, user traffic is ramping up at frontdoor.com which is our new online real estate listing service and our April 1 we launched a new green site called Ecolog.com, to engage media consumers in exchange of how-to ideas for sustainable living. Both sites are designed to deepen our competitive presence in the shelter category. Like I said lots of momentum at our lifestyle networks and, cause for optimism at our interactive services. And I will just turn to our local media businesses. Our newspapers and TV stations are truly in the throes of one of the industry's most the industries most challenge advertising environments as many of you well know. Read this in local advertising particularly classified at our newspapers has persisted into 2008. Our newspaper group exposure to struggling real estate markets in Florida and California have exacerbated the problem. At our TV stations we did see some pickup in political advertising as expected but the lack of democratic primaries in Florida and Michigan left a lot of money on the table. Local advertising remain soft during the first quarter with particular weakness in the automotive... and retail categories. On a very positive note our ABC station in Phoenix won a Peabody for its undercover expose last year of lapses and airport security. And in Knoxville our newspapers, The News Sentinel, won a National Headliner award and The National Journalism award for its defense for Tennessee opens meetings loss. Now despite the economic challenges, our imperative to serve to serve our local markets and be economically rewarded for our efforts has not changed. With all that, let me turn it over to Joe and he is going to talk about the company financial condition and update you exactly where we are on our separation process. Joe?
Joe NeCastro - Executive Vice President and Chief Financial Officer: Thanks Ken and good morning everyone. There is no need to go over all the numbers from the quarters since they are spelled out pretty clearly in the release. Suffice to say that the company and the shareholders continued to benefit from the consistent growth stories at Scripps Networks and some promising trends at Shopzilla and uSwitch. Just briefly though I do want bring our attention to some items on the income statement that may bear a little further explanation. First you will notice that depreciation and amortization was considerably lower year-over-year. That's due almost entirely to a write down and goodwill and other intangible asset at uSwitch during the fourth quarter of 2007. Next interest expense was much lower compared with last year, because we're carrying less debt. By the end of the quarter our borrowing went down to about $474 million compared with about $746 million at this time last year. By the end of 2007 we had reduced our total growth to around $505 million. Looking at the provision for income taxes the increase in our effective tax rate is due to positive adjustment remained during the first quarter of 2007. Those adjustments lowered our effective rate for that period to an artificially low level around 28%. The '07 rates also reflected the benefit of operating loss at uSwitch. The effective rate during the first quarter of 2008 was closer to normal at around 32%. One balance sheet item, we spend around $11 million during the quarter to repurchase around 280,000 shares at an average cost per share of $40 and $0.85. As for guidance, you have all the numbers in the press release so I won't go with entire list. One thing to note is expense growth of Networks, the increase expect in the second quarter reflects our planned investment and programming which is somewhat front loaded. We still expect full year expense growth to be around 10%. As we... one other item that's not in the release is... we are expecting minority interest to come in around $24 million in the second quarter. As we noted, all in we are looking for second quarter EPS to be in the $0.58 to $0.62 cent range and just for reference EPS in the second quarter of 2007 was $0.58. And that range does not include an estimated $45 million to $50 million in cost that we anticipate during the second quarter that are related to separation, most of that amount will be in the make hold premiums, we will be paying in order to retire the old bonds. The rest would be transaction related fees and expenses. As for the separation, we are moving ahead right on schedule. We received a favorable private letter ruling from the IRS. Our bank financing for both companies is largely in place and we've received comments this week from the SEC on the company's Form 10 information statement. Comments were pretty much in line with what we expected and we see no significant delays based on our analysis of the issues raised in their review. Finally, the management teams for both companies are falling into place nicely with and with Tim Stautberg's appointment as CFO at the E. W. Scripps Company our functional teams are shaping up nicely. All in we are right on schedule to complete the separation by June 30th as planned. So with that operator we are ready to take any questions. Question And Answer
Operator: [Operator Instructions]. Our first question in queue comes from the line of Alexia Quadrani of Bear Stearns Please go ahead.
Alexia Quadrani - Bear Stearns and Company: Thank you. Just a couple of questions, first on the... the cable network side, the cable revenues came in stronger than expected in Q1. Your guidance seems to be a bit more tampered on the revenue side for Q2, anything there besides just being more conservative in this market??
John Lansing - Senior Vice President and President/Scripps Networks: No good morning Alexia this is John. The second quarter is shaping up pretty much the way the first quarter ended. Ratings continued to be very strong on HGTV and Food Network and currently our guidance feels solid and... but there is a lot of quarter left to go and as you know it's important to keep the audience levels strong as they need to be. And as we progress, we can update the guidance, but I feel very, very good about where we are right now.
Alexia Quadrani - Bear Stearns and Company: And then on the cable side, you mentioned scatter being stronger as well as the ratings performance being the reasons at the upside in revenue. Could you give us a bit more detail on scatter, how it is actually trending versus upfront pricing and that... has that continued in the second quarter?
Kenneth W. Lowe - President and Chief Executive Officer: Yeah, actually it's a very strong for instance on HGTV scatter pricing is up 25% over upfront pricing from last summer. Food Network even stronger, Food Network up 40% over upfront. And even when you look scatter-to-scatter ph] there is certainly a lot of strength in the marketplace. We are seeing 5% growth in pricing just in second quarter's scatter compared to last year's second quarter scatter. So the market place continues to be strong for us.
Alexia Quadrani - Bear Stearns and Company: And... just... one more question on newspaper side I know some of those getting queue [ph], the newspaper revenues, you know, obviously down, but down a lot less than I would have thought given your high closure to the very weak Florida market, I guess what would you attribute that too?
Mark G. Contreras - Senior Vice President of Newspapers: Leslie, this is Mark... we are obviously still afflicted by the trends in Florida, California 76% of our decline is from those states. But you know, we have just kept a very strong focus on building out our local territories and are strengthening our sales forces. And... we just continued that focus. I wish I could tell you that was producing positive overall division results. It is not, but we still remain very focused on kind of the basics of walking and tackling it. the know, the guidance going forward for the year is... it reflects continuing softness particularly in those two areas. Hope that's helpful.
Alexia Quadrani - Bear Stearns and Company: Yes, thanks you very much.
Operator: Our next question in queue comes from the line of Peter Appert of Goldman Sachs. Please go ahead.
Peter Appert - Goldman Sachs: Thank you. Can the rebound in the interactive businesses is pretty impressive. So, congratulations on that. The uSwitch business is that back to profitability?
Kenneth W. Lowe - President and Chief Executive Officer: Joe is currently overseen as businesses, Peter, let me have him respond to you want you.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Morning Peter. Yes indeed they were profitable in the first quarter and we expect they will be profitable for the year.
Peter Appert - Goldman Sachs: Okay and can you give us the sense of the year-to-year revenue performance at uSwitch?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: They had a very strong quarter probably due...largely due to the fact that energy switching rebound some. The large carriers implemented price increases and the weather stayed colder there than expected. And I think the revenue actually performed very well. I remember they were lapping against prior year in '06... in the early '07 and half way through that quarter was when the bottom dropped down on pricing there. So, the revenue itself was flatish, up a little bit, expenses were way down, driving the results.
Peter Appert - Goldman Sachs: Okay and you are getting any traction from other categories beyond energy at this point?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Primarily insurance the... specially auto insurances has done very well. We have implemented some new lines including business energy, just taking up quite nicely and we are doing some what you would call private label work which is performing very well. So, those three financial services as you might imagine are challenged because of they got the same, similar issues to ours in the states here...
Peter Appert - Goldman Sachs: And then on the Shopzilla business. Can you give us any color on how your are seeing the competitive dynamic in that market in these day and also any color on the sort of the economic of the Shopzilla business in terms what driving the margin improvement is it all basically just lower traffic acquisition cost?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Well... two questions in there. I would say competitively speaking we are easily back at the top of the heap in March. We were the top of the field, well ahead of both Yahoo shopping and Shopping.com. Now as you know that can change in a couple of months. So, but those of the top three and then there is a pretty decent gap between them in the next group. So, it's somewhere 3 person race. Let's say the dynamics are very favorable to us at this point there are not allotted new entrance. We had a issue last year where a lot of money came in from big retailers and kind of drove the efficiency out of that market, and that's difficult to compete in that when you are trying to be rational in you are bidding. The margin has expanded nicely there, largely due to smarter keywords acquisitions and some enhancements we've made in our technology that allow us to acquire keywords kind of in the tail that still perform well for merchants, but are much lower cost for us. So, it is largely due to traffic acquisition.
Peter Appert - Goldman Sachs: And no headcount in that division...
Joseph G. NeCastro - Executive Vice President/Finance and Administration: First quarter this year versus first quarter last year is actually down. So expenses are little bit lower as well as.
Peter Appert - Goldman Sachs: Got it great. Thank you, and last things can the our friend Mr. Zell, seems to be desperate raise some cash. So, higher probabilities something could happen with the Food interest minority stake this year you think?
Kenneth W. Lowe - President and Chief Executive Officer: Well, I think Peter you know, you have heard the same many times we've always had interest acquiring that piece, where that was pre-sale or post-sale it's going to come down to price that we think is reasonable and yeah we remain interested in it and I continue to have a good relationship with our partner in the post-Zell era. So, we will have to see what happens.
Peter Appert - Goldman Sachs: Any current discussions going on?
Unidentified Company Representative: Well... we kind of always in discussions because we are partners, but as far as active conversations about us taking that back in, no, nothing active at the moment.
Peter Appert - Goldman Sachs: Got it thank you.
Operator: Our next question comes in the line of John Janedis of Wachovia. Please go ahead.
John Janedis - Wachovia: Thank you. Couple of brief ones, as a follow-up to Peter's question as we look at the 20 million or so EBITDA increase at the interactive division, can you give us more details in terms of the contributions between Shopzilla and uSwitch, and how does the increase switching affect your view on future cost cuts and our positioning there? Thanks.
Unidentified Company Representative: Let me dig out the relative, let's see, which one is this. I would say the largest chunk of it, John two thirds was uSwitch and the other third was Shopzilla, let me double check that. Tim is saying, remember we are going from a money losing situation to profitable situation uSwitch so and that's largely driven by cost, remember in the first quarter last year we had a very large ad campaign plan for uSwitch which we did execute and just as the bottom was dropping out and prices over there so, big problem in the first quarter which has been repaired. Could you repeat the second question.
John Janedis - Wachovia: In terms... does the improvement down on the switching front may be change your view, in terms of maybe future cost cuts, or even positioning there?
Unidentified Company Representative: I think we are largely through, what I would refer to as... significant cost reductions there were or more about positioning the business. I think that the market has performed well, its become little more rational, we had a good strong start to the year we expect that to moderate some, but we do think that operating at this level will be profitable now its about how we position the company and with merchants there, with vendors there and suppliers there and the value of proposition to customer. So we're looking at a number of opportunities to invest very modestly but to position the business forward for some growth down the road. We feel pretty good about where we are right now.
John Janedis - Wachovia: Okay sir it sounds like been in terms of the verticals, you are comfortable where you are.
Unidentified Company Representative: I think we are. We need to do better job in some of them, there is not much we can do for financial services right now, but certainly in the insurance categories and some new launches that we're looking at, we can do better.
John Janedis - Wachovia: Okay and then quick, as a follow-up, you guys mentioned weakness in auto and retail in the broadcast side and local. How does it look at the cable net, I am assuming its solid, but do you expect that to soften somewhat as the year progresses? Thank you.
Unidentified Company Representative: Our categories are really all showing some strength honestly on the cable side, I mean just look to page real quick but, our top, our leading categories you might expect is the food category, which is up 36% but consumer products even financial retail and automotive are all up for us in the quarter.
John Janedis - Wachovia: On the broadcast side it sounds like auto has been weakening a bit even from here, are you guys seeing any of that yet or no?
Unidentified Company Representative: Yeah auto was down quiet a bit, it was down around 14% and of course we didn't have a great year, last year so that category remains very soft.
John Janedis - Wachovia: Alright thanks.
Unidentified Company Representative: Thanks John.
Operator: Our next question in queue comes from the line of Barton Crockett of J.P. Morgan. Please go ahead.
Barton Crockett - J.P. Morgan: Okay great thank for taking the question. First just had a very basic level on the guidance line, you guys outperformed your guidance in the first quarter, particularly I think in the cable and interactive segment? So, you haven't really said in the press release and I apologize if I have missed in the call, if you are reiterating or changing your full year guidance. So, I am just wondering if you could kind of you know confirm what you are saying about the full year if anything at this point?
Unidentified Company Representative: Talking about, we are not making any significant adjustments to our view of the full year at this point. I would say that is out of abundance of caution with still a lot of the year to play out and as you know it's a seasonal and it can be difficult to predict. So, we feel good about where we are in now. We are thrilled with the first quarter performance winning some of that as I mentioned was due to market dynamics and in the energy market in the UK and that's moderating some. I don't think that's going to mean significant weakness but as far as giving me enough confidence to significantly raise the full year I think we are there yet, but I'd say if you had to lean in one direction I certainly think we'll we're in very good shape against the full year guidance that out there right now.
Barton Crockett - J.P. Morgan: Okay. That's great. And then, secondly, just on the affiliate revenues in the Cable Network segment up 17% in the quarter. Can you just update I mean in your second quarter guidance what's kind of presumed in the affiliate side that, is there a deceleration there and is there some cycling of contracts of some of the major networks that we will do behind that and how should be think about that as we go through the year?
Unidentified Company Representative: I know there really is very little activity in terms of renewals this year, next year there will several renewals related to the food network but now that this year really... the only dynamic driving affiliate revenue is the major dynamic is just the growth and penetration of digital.
Barton Crockett - J.P. Morgan: Okay. All right. Great, thanks.
Operator: Our next question comes from the line Craig Huber of Lehman Brothers. Please go ahead.
Craig Huber - Lehman Brothers: Yes, good morning. Just concerning you upcoming spin, I was just wondering if you could update us on how much debt your were planning on leaving behind the newspaper and TV stations?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Yes Craig, this is Joe. The plan right now is to leave around $50 million in debt on that division... on that company.
Craig Huber - Lehman Brothers: Okay. Then on the cable network side how much do you think you were helped in the first quarter... but a dislocation broadcast side out there with the writer strike. And then also going forward do you think you will hurt here while now that they are coming back online here with their operations?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: That's a great question Craig and I don't think it's a simple zero sum game that the writer strike had a definable effect per say. I think it's hard to escape the fact that writer strike certainly brought more viewing to cable in general. But I believe it was really the combination of that along with our investment in new programming including Ken mentioned Myles of style on HGTV and more investment in our more successful programming on Food Network including Diners, Drive-Inns and Dives and Ace of Cakes. Those programs actually launched back in the fourth quarter and the ratings that they created at the time were highly successful against the new season when they was no writer strike. And so, they carried through that period with a great deal of strength. And if you recall our fourth quarter was very strong in terms of audience growth and it carried right through into of the first quarter. So, I think the primary driver is the new investment in the new programming, and marketing those programs and then the writer strike helped I think bringing an audiences to sample our networks which would be in my mind the reason that Food Network was able to post for instance an 18% improvement in adult 25/54 impressions in primetime. And interestingly HGTV which was really relatively flat among 25 to 54 viewers in primetime, but was up 17% in 18 to 34 year old viewers which is an unusual and very, very positive dynamic for HGTV. So, combination of several things but I believe the investment in programming being the primary driver.
Craig Huber - Lehman Brothers: And then switching over to cost in the cable network side you are talking about total cost at 15% here, in the second quarter. Can you just give us some more clarity on the why is that up so much? Are you basically taking advantage of the strength you're seeing on the top line to invest back in your programming and marketing help you guys out over the next 12 to 18 months on the ratings front?
Kenneth W. Lowe - President and Chief Executive Officer: Yes,you nailed it. That's exactly what it is; investment in programming as I mentioned earlier that investment appears to be paying-off very well. And it met the strong advertising marketplace and so we feel like the, relatively modest investment and programming in the front half of the year came in... just the right time in the marketplaces very strong. And then in addition, what we didn't mention earlier in the prepared remarks is the investment in high definition programming. As you may know the both HGTV and Food launch as full simulcasts in high definition at the end of March. We decided it was just time to step up our production of high definition because of the timing of the general marketplace acceptance of high definition. There's a bit of a cost there, but we think its money well spent.
Craig Huber - Lehman Brothers: But should the investors be, I mean just your guidance historically you guys have been very conservative. I'd be very surprised if you had costs up 15% here this quarter, yet your top will only growth 10 to 12% are you really baking here that being overly conservative in the cable network revenue growth in the second quarter. I mean in other words are you really think you can down margins here in the second quarter for cable networks?
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Craig, it's Joe. We certainly could. But as we think... we think about it as a full year and sometimes even longer term and if you look at the back half of the year you'll see very modest increases in expense. And so for the full year, we expect margins to stay roughly where they are. We could have a little bit of a decline in the second quarter but it's just because of the timing of the spend.
Craig Huber - Lehman Brothers: Great thank you.
Joseph G. NeCastro - Executive Vice President/Finance and Administration: Yes.
Kenneth W. Lowe - President and Chief Executive Officer: Thanks Craig.
Operator: Our next question comes from the line of Brian Shipman of Jefferies. Please go ahead.
Brain Shipman - Jefferies & Co.: Thanks, good morning. Couple of questions in cable still. Another Home and Garden media company this week said they, the food category had been very strong in Q1 and it dropped of significantly in the second quarter. You are seeing this also is that factoring into your revenue guidance a bit, and just with respect to cost a little bit more on the cable networks and that you are implying single digit expense growth in the second half. How flexible do you view that? I mean if you continue to see revenue strength in to the second half in cable, could we expect to see you, push the accelerator on the expense side further in to the second half as well? Thanks.
Kenneth W. Lowe - President and Chief Executive Officer: Okay. Brain... answer your first question, we are not seeing any weakening in neither the shelter or the food category in fact. We are seeing the strength in the first quarter carrying through in to the second quarter in terms of advertiser demand and pricing in general. Also just again, the audience being may be a better measurement of marketplace strength. The audience has grown on Food Network in the first quarter, highest quarter in the history of the networking primetime and total day and HGTV is the highest rating in the history of the network. So things appeared to shows some strength there. In terms of cost it really is a front loaded year, which is that simple. We chose to front load our programming investments in the first and second quarter, in order to, as I say get a early jump on driving a full year of audience growth. And as we looked to the back half; if we did have an abundance of revenue growth beyond our expectations; of course, we may consider some other investment, perhaps in marketing. Because programming investments really are more a little bit more long term. But sitting here today I don't anticipate that we will. I really looking out would tell you that the third and fourth quarters would be high-to-mid single digit growth and expenses in the full year would come in right ride around 10%.
Brain Shipman - Jefferies & Co.: Okay, thank you.
Operator: We have a question from the line of Paul Ginocchio of Deutsche Bank. Please go ahead.
Paul Ginocchio - Deutsche Bank: Thank you. I don't know if you said already, but what was your programming cost growth in the first quarter for the Cable Networks? And what was the impact of the gain on the real estate on your EPS in the first quarter for Denver? Thanks.
Unidentified Company Representative: On December 1st, okay our programming cost were up 25% in the first quarter.
Unidentified Company Representative: And Paul, this is Mark, it was 4.4 million
Paul Ginocchio - Deutsche Bank: Is that, that's for the... for Scripps or for the G&A?
Unidentified Company Representative: It was our share.
Paul Ginocchio - Deutsche Bank: Okay, thank you.
Operator: And now our next question comes from the line of Edward Antorino of Benchmark. Please go ahead.
Edward Antorino - Benchmark: Hi, before I ask my question, is that gain pretax, Post tax, the 4.4 million?
Unidentified Company Representative: Pre-tax.
Edward Antorino - Benchmark: Thanks. Regarding their uSwitch, it sounds like that market does pretty volatile, can you sort of discuss that issue I mean can that market change dramatically between now and June if something happens, so I mean it seems like it went from the turbo market to a good market pretty quickly, you've got a pretty positive outlook, can you talk about the dynamics of that business can it sort of disappear overnight or fall apart?
Unidentified Company Representative: Look, yeah this is Joe. We have a much better view of the market now than we have had having... having had a little more experience and some scars in it, it's... is it a volatile market I think any one individual product line can be volatile we like the dynamics in the energy market there are now better than we had before we think, clearly there was some competitive repositioning by the majority supplier of the old legacy, monopoly supplier there. Were there were sort of re-establishing their brand and doing things ... in the interactive space that they hadn't before. So it's kind of re-alignment their competitors there, uSwitch still has the dominant market share in terms of switching in that business and we are working to improve our relationship with British Gas which frankly we had been thinking on for some time. As they sort of... as the market began competitive and other competitors came in it was... we played the role of trying to get people to... help people to switch away from them. I think now, it is a much more balanced market and people are switching in every direction depending on the pricing and their particular offers that are in place. And I like where we are right now, and I like our near term future. I don't expect that the business would disappear on us, but there clearly could be some volatility in any one product line, we are still largely dependent on the energy business there. So we are part of what you see us doing is working hard to diversify some away from our independence on that, but that's it. It is a more volatile business than some other businesses were in, and we watch very closely in that concern.
Edward Antorino - Benchmark: Is it hard for somebody to decide, I want to go in that business, one of the other people that went out, can they just sort of come back in... is it a difficult thing to go in an out of that business, if you are in this sort of competitive landscape?
Unidentified Company Representative: No, and I think most of the switching companies offer a variety of products and services, so there are not just, we are not the only energies switching company available for consumers. We have a long established reputation and a brand name that's associated with energies just like money supermarket has one, that is associated with financial products and confused as one associated more with auto insurance. I think our objective is to have sort of meaningful... meaningfully sized business away from energy as much as possible, but in a short term we still are... we still are depended on it. And I answered to your question about how easy is it to enter and exit this market, it is... there are not significant areas as there are you know in any interactive business, the barriers are much lower than any other businesses we have been in. That's just the nature of the beast. So, it's about positioning, about... the value you provide to the suppliers and value you provide to consumers. So, it's a constant struggle and you have to continue to invest in those businesses.
Edward Antorino - Benchmark: One more question, could you discuss the cost structure, significant... is it big fixed costs or high variable costs?
Unidentified Company Representative: It is not a very big fixed cost business, in fact when it's performing well, it should be extremely high margin. We've got reasonable variable costs and reasonably low fixed cost as well.
Edward Antorino - Benchmark: And one last thing, you went over the numbers. What was the debt at the end of the quarter? I missed the number.
Unidentified Company Representative: That 474 million.
Edward Antorino - Benchmark: Thanks a lot. Bye.
Operator: Our next question comes from the line of Michael Bresler of Alson Capital. Please go ahead.
Michael Bresler - Alson Capital: Hi, I just wanted to ask a question on the cable channels. I am curious what ratings are now being used and when ratings changes were made. It seems like there are lots of different ones out there? Thank you.
Unidentified Company Representative: I am sorry, Michael, are you asking which demographic categories are we quoting, is that your question?
Michael Bresler - Alson Capital: No, this is a C3, day plus, switch, you know, just alignment, maybe you could point out which quarter these ratings changed over and then when your quoting this year-over-year comparisons whether or not, we can think about it like it apples-to-apples. Thanks.
Unidentified Company Representative: Yeah this is short and simple and important answer to that is yes, it is apples-to-apples, all of the ratings that we are quoting in terms and the pricing improvements year-over-year are apples-to-apples, net of C3 adjustments.
Unidentified Analyst: Thank you.
Operator: And our next question is a follow-up from the line of Craig Huber of Lehman Brothers. Please go ahead
Craig Huber - Lehman Brothers: Actually I'm covered. Thank you.
Operator: [Operator Instructions]. And we have a question from the line of John Kornreich of Sandler. Please go ahead.
John Kornreich - Sandler O'Neill & Partners: In the two big cable networks, are there any significant time periods where you're not making the kind of progress that your investments would dictate, that should happen so far?
Kenneth W. Lowe - President and Chief Executive Officer: Well there of course one of the time periods we've been focused on over the last year is Food Network's In the Kitchen time period which weekends in the mornings, Saturday and Sunday, and very happy to report progress in that area after three quarters of some difficulty. For the first time in over a year, Saturday morning is up year-over-year and the entire segment, Saturday and Sunday is up sequentially, from the fourth quarter. And that's due to what you would expect. It's due to the investment in programming, I spoke of earlier. And finding some new and exciting young talent including the Neely's, African-American couple out of Memphis that have really come on strong, having some of the highest ratings we've ever seen on Saturday and Sunday morning. And so that's improving. That was an area of concern. But other than that daytime is actually stronger on HGTV than its very strong primetime. And as I said earlier, primetime on Food Network is at an all time record high.
Operator: There are no further questions in queue, at this time. Panelists, please continue.
Timothy E. Stautberg - Vice President, Communications and Investor Relations: Thank everyone for joining us. This is Tim Stautberg. If you have any further questions, you can call me at 513-977-3826. Thanks and have a great day.
Operator: Ladies and gentlemen, today's conference call will be available for replay from 12 PM Eastern Time today, until May 1st 2008 midnight of that day. You may access that conference by dialing 1-800-475-6701 and entering that access code 918379. If you have to be dialing from an international location, please dial 320-365-3844 and entering the same access code 918379. It does conclude our conference call. I'd like to thank you for your participation on behalf of today's panelists. And thank you for using AT&T. Have a good day. You may now disconnect.